Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Slate Grocery REIT Fourth Quarter 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions.] Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Braden Lyons, Investor Relations. Thank you. Please go ahead, sir.
Braden Lyons: Thank you, operator, and good morning, everyone. Welcome to the Q4 2020 conference call for Slate Grocery REIT. I'm joined this morning by David Dunn, Chief Executive Officer and Andrew Agatep, Chief Financial Officer. Before getting started, I would like to remind participants that our discussion today may contain forward-looking statements. And therefore, we ask you to review the disclaimers regarding forward-looking statements as well as non-IFRS measures; both of which can be found in management's discussion and analysis. You can visit Slate Grocery REIT's website to access all of the REIT's financial disclosure, including our Q4 2020 investor update, which is available now. I'll now hand over the call to David Dunn for opening remarks.
David Dunn: Thank you, Braden, and thank you to all the participants for joining the call this morning. The COVID-19 pandemic reinforced Slate Grocery REIT's important role in providing Americans with their essential daily needs. Our focus has always been and will continue to be on owning high-quality grocery-anchored properties in major markets in the United States. It is this investment strategy that has allowed us to clearly differentiate ourselves against our peers in North America as the only pure-play grocery-anchored REIT. The strong performance of the grocery-anchored sector during the pandemic has resulted in its evolution into a new asset class; separate and distinct from the broader retail category. We partner with market-leading grocers, who by no fluke, tend to be those with strong omnichannel distribution capabilities or the ability to provide customers with a seamless shopping experience; be it in a brick-and-mortar store or online. In fact, 98% of our grocer tenants are currently executing an omnichannel model at our properties. Our real estate is located close to where Americans live, which reduces last-mile logistics costs and allows grocers to efficiently deploy food inventory for customers, whether purchases are made in-store or online.  With the emergence of COVID-19, there has never been a more important time for a grocer to be able to efficiently execute an omnichannel distribution strategy, and more specifically, fulfill online grocery sales in a timely and cost-effective manner. The largest grocer in America and Slate Grocery REIT's largest tenant, Walmart, is acutely focused on improving both their online fulfillment capabilities as well as their in-store customer experience.  In Walmart's 2021 Investment Community Meeting just last week, their CEO, Doug McMillon, was quoted as saying, "Our automation plan is now ready to scale. We'll be investing in our distribution centers, our e-commerce fulfillment centers and in our market fulfillment centers, which will, in many cases, be inside of or built beside our stores. At Slate Grocery REIT, we continue to have the utmost conviction that neighborhood stores will remain a critical component of the omnichannel distribution strategy for America's leading grocers; fulfilling both in-store and online purchases.  I'll now provide an update on our portfolio's pandemic related performance. Our market-leading cash rent collections have continued with the REIT collecting 96% of rent in both the fourth quarter and full year. 65% of our tenants have been deemed essential by the government, 99.4% of our tenants are currently open and operating and have been since October of 2020. There will be no government shutdowns affecting our assets since the end of the first wave in the second quarter of 2020.  Repayments under the deferral payback program have been robust. As of December 31, of the total deferred amount of $1.3 million, we've collected $1 million in cash. These collections represent in excess of 100% of the scheduled repayments to date, meaning there are tenants settling deferred amounts sooner than required. Our last deferral agreement was executed in August of 2020, and we expect the repayment program will be substantially complete by the end of the second quarter 2021.  I'll now speak to the broader performance of our business in 2021, in 2020, pardon me. Since the start of the pandemic, the REIT occupancy has increased by 70 basis points and finished the fourth quarter at 92.9%. We expect our occupancy will continue to trend upward based on our actionable pipeline of quality lease transactions. Our team completed nearly 1.7 million square feet of total leasing in 2020, including over 370,000 square feet of new leasing. These amounts both represent record annual performances and demonstrates the continued strong demand for grocery-anchored real estate. Leasing in 2020 was completed at a weighted average rental spread of 6.1%. We completed 15 lease deals with grocery tenants in 2020, comprised of four new leases and 11 renewals totaling over 990,000 square feet. Excluding termination fees, which inflated the comparative period, same-property net operating income grew 0.6% in 2020 on a trailing 12-month basis. In 2021, the REIT has no grocery tenant expiries and only 4.7% of the portfolio's rent roll is maturing.  Looking ahead to 2021 and beyond, there's $2.5 million of committed base rent that is not yet captured in our financial reporting; 80% of which is scheduled to come online this year. We are pleased to have completed another opportunistic off-market acquisition of grocery-anchored properties located in growth markets in the Southeast United States. Our most recent acquisition of five asset portfolio closed on February 10, 2021, for $54.3 million. This transaction further increases Slate Grocery REIT's percentage of revenue from both essential tenants and grocers and generates compelling returns that exceed our cost of capital. We continue to be active in underwriting attractive external growth opportunities for the portfolio and look forward to further driving value for unit-holders in 2021 and beyond.  I continue to be incredibly proud of the passion and dedication that our team at Slate Grocery REIT demonstrates on a daily basis. We are very pleased with our portfolio of strong performance throughout the pandemic, but it certainly would not have been possible without tireless effort from our team. On behalf of the entire Slate Grocery REIT team, we wish you and yours good health and we thank you for your continued support. I'll now hand it over for Q&A.
Operator:
Braden Lyons: Perfect. Thank you, operator, and thank you, everyone, for joining the Q4 2020 conference call for Slate Grocery REIT. Have a great day.
Operator: That concludes today's conference call. You may now disconnect.